Christian Herrmann: Good morning, ladies and gentlemen. My name is Christian Herrmann. I'm Head of Investor Relations and M&A at Daimler Truck. I warmly welcome you to our First Annual Results Conference. Thank you all very much for joining today. This is the first time we are presenting our business results as an independent-listed company, so a very special day for us. Because the COVID-19 pandemic is still ongoing and safety is our priority, we decided to host this event digitally only. Moreover, we are hosting this event, the first part of this event, as a joint event for analysts, investors as well as for media. This is why I'm very glad to have Jörg with me today.
Jörg Howe: Thank you, Christian, and good morning also from my side. My name is Jörg Howe. I'm the Head of Global Communications at Daimler Truck. Let me briefly tell you what you can expect today. First, our CEO, Martin Daum; and our CFO, Jochen Goetz, will present our business results. This will take around about 45 minutes, and there will be simultaneous translation into German. Afterwards, our executives will do two Q&A sessions, one for analysts and investors and the other one for media representatives. Active participants in the Q&A court have already received their personalized access data with their registration. Now let's start with welcoming our speakers: Martin Daum, our CEO; and Jochen Goetz, our CFO. Martin and Jochen, the stage is yours.
Martin Daum: Good morning and a warm welcome from me as well. Thank you all for joining us today. Ladies and gentlemen, in these traumatic weeks, it is impossible to focus strictly on business. The war in Ukraine started exactly one month ago. And every day, I am shocked by the suffering it causes for so many people. And it's not just me; that is the overall sentiment at Daimler Truck. We therefore donated €1 million to the United Nations Children Fund as an immediate measure, and we are providing trucks and buses for aid deliveries. Moreover colleagues from various areas of our company set up a task force for humanitarian aid. And every day, this task force receives countless offers of help. Our employees from all over the world want to join in. So we are just launching a global donation campaign. All employees can participate and our company will then double the donated amount. This creates solidarity as the people in Ukraine makes me once more proud of our entire Daimler Truck team. When we now turn to today's event, I'm very proud as well. Because of the 125 years as a business unit of the former Daimler AG, we are now an independent company. As of this week, we are also a proud member of the DUCs [ph]. And today, we are hosting our first annual results conference. So let's get started. At Daimler Truck, we work for all who keep the world moving. Trucks and buses are the backbone of our society and economy. Without them, the world would simply stand still. So we are proud of what we do, and we are equally proud to be an industry leader. We have strong brand and teams in all regions, in the Americas, in Europe and in Asia. We have cutting-edge technologies in fuel efficiency, in safety and in emission-free drive lines. And we have a rock-solid balance sheet. Going forward, we have clear strategic priorities and ambitions to create additional value, value for our customers and for our investors. Ambition number one is to lead sustainable transportation. To that end, we are development -- developing battery electric as well as hydrogen-based vehicles, because we are certain our industry will need both technologies. Ambition number two is profitability. We are fully dedicated to deliver benchmark profitability and a strong cash flow in all regions. To unlock our profit potential, we have a broad range of measures in place. So we have a clear plan going forward, and we consistently execute this plan. In 2021, we further accelerated sustainable transportation. We launched our Mercedes-Benz eActros, a heavy-duty battery truck for regional distribution. Our eActros hereby joined our light truck Fuso eCanter, our school bus Julie and our city bus eCitaro, which are in series production as well. So we already have an impressive portfolio of battery electric vehicles. In Germany, our eCitaro accounts for almost half of the total market for fully electric city buses in 2021. In addition, we initiated several important partnerships in the past year. Our joint venture cellcentric started in March and is now making fuel cells ready for mass productions. Our infrastructure partnerships in Europe and the US will install high-performance charging and refueling networks for battery and hydrogen-powered vehicles. One last point in that regard. As we increase our investment in zero-emission vehicles, we have to reduce or limit our investments in conventional vehicles and technologies wherever possible. We have, therefore, partnered with Cummins to outsource development and production of medium-duty engines. We are also executing our second strategic ambition, the ambition to unlock our profit potential. Consequently, we have further intensified our active portfolio management. We have introduced new vehicles in attractive markets, launching our new Western Star trucks in North America to further grow our position in the vocational segment, launching our Tourrider, a Mercedes-Benz-branded motor coach to address the expanding coach segment in North America. At the same time, we are streamlining our portfolio focused on the largest profit pools. At Mercedes-Benz, for example, we have significantly reduced the variety of vehicles while still fulfilling our customer needs. We lowered the number of base models from roughly 140 to 100, a reduction of 30%. This reduces our procurement, production and even marketing complexity and costs. At Daimler Buses, we are concentrating on our core business of buses and chassis over 8 tonnes. We, therefore, sold our German-based minibus business as of January 1, 2022. Next to that, we set ourselves ambitious of targets for fixed costs, CapEx and R&D as well as for the share of service revenue, and we consistently execute all that. First, fixed cost, our ambition is to reduce our fixed cost by 15% by 2023 compared to 2019. In 2021, we already achieved a reduction of 12%. A strong contributor was Mercedes-Benz. Here, we already achieved 50% of our aspiration to reduce personnel costs by €300 million by 2023, and to reduce non-personnel costs by €200 million by 2025. Second, we are aiming to reduce CapEx and R&D by 15% by 2025. We, therefore, fully focus on future return on capital, profit pools as well as transformation targets. In 2021, we reduced our CapEx and R&D by 18%, meaning we even surpassed our ambition that's because the reduction of diesel-related investments had a head start compared to the required ramp-up of CO emission investments. Going forward, that means our aim to reduce CapEx and R&D by 15% remains still valid and ambitious. Third, our initiative to grow our services will help to translate customer relationships into recurring revenues and make us more resilient. It will help to make our business less cyclical and drive margins as well as return on capital employed. Of course, increasing our service revenue takes longer than reducing our costs, but we are on track here as well. In 2021, the services share of our revenue increased to 31%. Main driver was the after sales business in North America. As you can see, we are full – in full execution mode regarding our profit potential, and we are very transparent about our progress. Let us now look at the market environment in 2021. In North America, 2021 was a very strong year for heavy-duty trucks until the semiconductor shortage hit in the third quarter. Due to these constraints 2021 only ended at an average level, and that level does not reflect demand. Customer demand was significantly higher and the market development was completely dependent on supply. In the Class 8 segment, we achieved a market share of 40%, matching our previous highs in 2016 and 2017. In the European region, the market for heavy-duty trucks increased by 19%. Despite that, the volume was still below pre-COVID levels. And much like in the US, the limiting factor was not demand, but supply. Without supply chain constraints, market volume would have been noticeably higher and our sales as well. As for the worldwide environment, with the exception of China and Japan, all regions have received – recovered in the past year. But our most important regions are still below their historical averages. Now, let's see how we translated that market environment into sales and orders. As for sales, we achieved a strong increase of 20% compared to 2020. Our sales growth could have been even stronger, but it was constrained by the global supply chain challenges mentioned before. We even accomplished an increase of 9% in the fourth quarter despite continuous disruptions and supply bottlenecks. This was a great team success, where the entire Daimler Truck team worked hard to deliver as many vehicles as possible to our customers. We continued production until the very end of the year and shipped our last trucks to customers on December 31. With respect to orders, the past year was extremely strong. Incoming orders accounting to 590,000 units, an increase of 37%. This underlines our great product lineup, our customers love our trucks and buses. In the fourth quarter, orders were lower than in the third quarter, but this has purely technical reasons. We were replanning our 2022 production schedule, and this limited our order intake. To round that up, a few insights at business segment level. In North America, our order backlog stays at historical high levels. Demand for all our products is high. For example, we see extremely strong interest in our vocational trucks, especially in our new Western Star models. Mercedes-Benz achieved a book-to-bill ratio for more than 150%, which underlines the success of our increased customer focus. In Asia, sales were 30% above prior year. Incoming orders even increased by more than 50%, not included in our sales on the Chinese sales of our joint venture, BFDA, in the magnitude of 103,000 units. This is a 19% below prior year. At Daimler Buses, the important coach and tourism segment in Europe was still down due to COVID-19. The market in Latin America recovered from a low level. Now a quick deep dive in our Zero-emission sales. In 2021, we sold more than 700 battery electric trucks and buses. That is more than triple our 2020 volume and a strong increase, so there is great momentum. The major limiting factor now is not the vehicle. Our battery vehicles are in series production, meaning we can produce thousands of them. The limiting factors are the infrastructure and the framework for cost parity with conventional vehicles. All three factors need to be in place so that our customers can make zero-emission vehicles, the backbone of their fleets. We as Daimler Truck are working closely with energy companies and policymakers. We all now need to join forces to move things forward. Next, let's look at the earnings we achieved in 2021. We finished the past year with an EBIT as book of €3.4 billion. We achieved an EBIT adjusted of €2.6 billion and an adjusted return on sales of 6.1% and a free cash flow of €1.6 billion. Our earnings per share come to €2.85. And our industrial liquidity amounts to €6 billion. Our environment is volatile. And in times of uncertainty, it definitely helps to be in a strong financial position. We already touched on many important factors that influence our results. Additional positive effects came from strong aftermarket business and the strong demand for used vehicles. Our new Financial Services segment also made a strong contribution to our bottom line. We did a great job ramping up the business. In contrast, the global supply chain challenges had severe negative effects. We sold a lot fewer vehicles than we could have sold. For the trucks and buses we did sell, we were facing significant constrained costs in our production processes, for example, where we had to rework lots of unfinished vehicles. In addition, prices for raw materials increased significantly due to our high order backlog, we could not adjust our pricing accordingly. This put pressure on our contribution margins. In sum, last year's environment was quite challenging. But despite these challenges, we still finished 2021 in line with our guidance. I'm therefore very proud of what we do. We, as a global team accomplished. I would like to thank our entire team, and I know that many of you are tuning in today. Thanks a lot. 2021 was a lot of hard work and you did a really great job. Now a quick deep dive on our return on sales. First, our return on sales of 6.1% is a great improvement compared to 2020 and is also above the pre-COVID year 2019. Trucks North America did not perform as strongly as in 2019, but this is due to the headwinds mentioned before, especially constrained cost and raw material increases. Trucks North America still is a benchmark for profit in North America. Mercedes-Benz achieved a significant improvement and would have been even more successful without the semiconductor shortages. Trucks Asia strongly improved as well and benefited from one-time effects in China. Daimler Buses was affected by COVID-19, but achieved important structural improvements, especially reducing fixed costs. Financial services are fully on track in ramping up the business. Bottom line is this. Our measures are paying off. Our earnings are moving in the right direction. We are on track to unlock our true profit potential. We, therefore, can be proud of what we have already achieved. At the same time, we remain fully committed to go all the way to reach our 2025 margin ambitions. You know that we defined different scenarios depending on the environment. 2021 correspondence to our cloud scenario, which means in such an environment, we want to be able to achieve a return on sales of 8% to 9%. So there is still a gap, but we have a clear plan how we aim to close it by 2025. And we will keep executing this plan. We will not loosen up here, not a bit. With that, I would like to hand over to Jochen. The floor is yours.
Jochen Goetz : Thank you, Martin. And also a warm welcome from my side to our first independent Daimler Truck full year disclosure. Martin already mentioned some of the key figures, but now let's have a closer look at our financial performance of the group and the segments in the financial year 2021 as well as the fourth quarter. Year-over-year, revenue for the group increased by more than 10% to €39.8 billion for the financial year 2021. Adjusted for FX, revenue increased by 13%. EBIT reported in 2021 increased significantly from €0.5 billion to €3.4 billion and on an adjusted basis from €0.7 billion to €2.6 billion. Free cash flow of the industrial business decreased from €1.8 billion in 2020 to €1.6 billion in 2021. The reduction by €200 million is mainly attributed to the global impact of the semiconductor bottlenecks and the elevated inventory levels at year-end. Net industrial liquidity is strong and stood at €6 billion at the end of 2021. Next, a closer look at our Industrial business performance in 2021. In 2021, we have seen a strong recovery in pure heavy-duty markets together with improved net pricing and positive contributions from after sales, as well from a used truck business. These factors led to an increase of revenue to €38.6 billion. Despite the headwinds from raw material prices and supply-constrained inefficiencies, we could translate this into a solid growth of EBIT adjusted and a corresponding return on sales adjusted of 6.1% versus 1.9% in 2020. Including the adjusted onetime effects mainly from cellcentric, return on sales of the industrial business stood at 8.2%. Overall adjusted items were at €0.8 billion, thereof, M&A, €0.9 million, as mentioned, mainly cellcentric and restructuring of minus €0.1 billion. Our highest priority in the fourth quarter was to fulfill our customer demand as well as possible. We continued production until the very last day of the year and accepted higher cost and inefficiency to supply as many vehicles as possible to our customers who were eagerly waiting for them. Therefore, the financial result in the fourth quarter was hit hard by supply chain-related constrained costs and related inefficiency in our production. But we deliberately prioritize long-term customer relationship over short-term optimization. However, even with those measures, we were not able to fulfill the total customer demand. In addition, raw material prices have not yet been offset by the implemented price increases and a nonrecurring warranty issue in the United States both had a negative impact. Hence, Q4 adjusted margin came in at only 4.7% versus 5.5% in the previous year's quarter. Now, let's take a closer look at the individual EBIT drivers for the full year 2021 compared with 2020. Main driver of the 2021 results are volume, mix and net pricing, a total positive composition of €2.1 billion year-over-year. Volume and mix, pricing and aftersales and use business all contributed to this increase. Small negative effects related to FX, a bit less half of it coming from the translation side, mainly coming from the US dollar and the Japanese yen. Regarding our industrial performance, 2021 was burdened by a high triple-digit raw material cost increase and constrained costs. Positive impacts from lower burden of warranty costs compared to 2020 could not offset. The raw material cost increase has not been fully covered by pricing in 2021. Considering the recovery of the markets and operations from the COVID-19 pandemic, I am proud of the fixed cost discipline we achieved in 2021. As described before, we are on a good track to achieve our ambitions. In the others line, we had a positive onetime valuation effect, in particular, coming from our Chinese joint venture, BFDA in our Truck Asia segment as already communicated in our Q3 disclosure. Our Financial Services segment supported core performance with a €0.2 billion EBIT, contribution with a positive effect from significantly lower cost of credit, especially in North America. This leads to an adjusted group EBIT of €2.6 billion. Including the adjustments for restructuring and M&A, EBIT reported came in at €3.4 billion. Now a closer look at our segments. At Trucks North America, we significantly increased our 2021 top line due to considerably increased new vehicle sales, strong pricing and a stronger aftermarket and used truck business. The overall effect accounts for €0.9 billion. Negative FX effect and lower industrial performance, mainly driven by higher raw material costs and increased rev costs reduced this positive effect by more than half. Fixed cost was on the low level of 2020 despite the unwinding of COVID benefits. Return on sales adjusted for the full year amounted to the strong 9.2% versus 7.3% in 2020.  In comparison to the prior year, the fourth quarter was negatively impacted by extraordinary warranty cost to a product recall accounted for in Q4. This recall effect the loan accounts for approximately two percentage points return on sales. Additional headwinds for material costs, supply constraints costs driven by inefficiency in production and on the logistics side, mainly driven by the reduction on half of the offline inventory of almost 20,000 units we had at the end of the third quarter. Despite all these negative effects, Q4 adjusted margin was still at 5.4% return on sales. Mercedes-Benz Truck is constantly improving. Full year return on sales adjusted increased to 4.8% from minus 1.7% in 2020. [indiscernible] showed a strong top line increase due to a strong recovery in sales despite significant supply constraints. As in the United States, the supply situation, especially in the second half of the year was the limiting factor for our sales volume. Both the aftersales business as well as the restructured used truck business contributed positively compared in 2020. Similar to Trucks North America, during the course of the year, we experienced a significant increase in raw material costs. We were not able to fully offset this headwind in 2021 because price increases only come into effect with a certain time delay. We continued with our strict cost control and the execution of the initiated restructuring initiatives. As mentioned before, Mercedes-Benz significantly contributed to the fixed cost improvement versus 2019. Remember, we had a temporary cost saving from the COVID situation in 2020, despite the fact that we don't have this COVID-related cost benefits anymore, we could offset this with structural fixed cost reduction measures. In Brazil, we achieved our breakeven as planned. Most important for us is the quarterly track record in 2021 with constantly lower fixed costs quarter-by-quarter. This is a clear proof point that we are reducing the gap to our benchmark and delivering on our financial ambitions. RoS adjusted in Q4 with 5.4% was even above the 4.8% for the full year 2021, despite all the headwinds. This underlines that we are on the right track with our margin improvement measures. At Trucks Asia, we achieved significant top line increase in 2021 due to the market recovery, including a pre-buy effect in Indonesia. Although, we sold fewer trucks in 2021, compared to 2019, we were able to more than double return on sales adjusted to 7.2% versus 2.3% in 2019. Please be aware, that within the 7.2%, a one-time effect of our Chinese joint venture, BFDA is included. This was booked in Q3, and has a positive impact of approximately two percentage points on the return on sales for the full year. The strict fixed cost control paid off at Trucks Asia and contributed positively to the development. On a quarterly view, Q4 was very strong with a return on sales adjusted of 6.9%, mainly supported by the mentioned pre-buy effect in Indonesia. A Daimler Buses, we saw a consistent business development in 2021. City markets are stable, whereas the coach segment in Europe is still very weak. In Latin America, we saw a market recovery coming from a low-level. All this led to a decline in revenue mainly due to negative volume and mix effects. As expected, return on sales adjusted for the full year 2021 was negative at 2.4%. Given the market environment, the significant higher raw material costs could not be compensated via price increases. Restructuring activities and strict cost management resulted in further fixed cost reduction, foundational work to strengthen the division for when the volumes recover. With the cost structure of 2021, we would have achieved a benchmark margin, if we would have been in a 2019 sales environment last year. Q4 2021, showed a slight improvement in aftersales, but it was mainly depressed by even lower volume versus last year and negative mix effects. Also in the last quarter of 2021, return on sales adjusted was negative with minus 2.1% versus 3.6% in the previous year's fourth quarter. Putting the pieces together to the Industrial business performance, you clearly can see that all three truck segments contributed positively to development. Bus faced a tough environment in 2021 and as Jeff mentioned, made very good progress on the cost side, despite a negative year-over-year performance. We are very proud on the restructuring focus at Mercedes-Benz, contributing €1 billion of the total EBIT improvement. Reconciliation, which is part of our Industrial business, mainly contains costs for autonomous and the fuel cell joint venture. All in all, this leads to an EBIT adjusted for the industrial business of €2.4 billion with a return on sales adjusted of 6.1%. Including the adjustments, it's a major effect of €1.2 billion residing from establishing the fuel cell joint venture cellcentric. EBIT reported amounted to €3.2 billion with a return on sales of 8.2%. Looking at Financial Services, new business was slightly up, despite the lower penetration rate, mainly due to the mega fleet customer effect in the United States. Contract volume increased by 6% to €16.9 billion by the end of 2021, mainly driven by positive FX effects in the United States and Canada compared with 2020. EBIT adjusted in 2021, increased significantly to €0.2 billion, leading to an adjusted return on equity of 12.4%. The main drivers here on the positive side were a higher interest margin, mainly in North America and a significant lower cost of credit in North America after the COVID-19 pandemic. Detailed work and further information on the financial performance of each segment are included in the appendix to this presentation as well in our fact book. On cash flow, supply chain constraints caused higher inventory, translating in a total negative effect from an increase of working capital of €356 million. But keep in mind that behind every vehicle sitting in our inventory, there is a customer urgently waiting for the trucks to be delivered. The net investment bucket includes a positive effect of €0.5 billion from financial investments, mainly driven by our fuel cell joint venture, cellcentric. On the positive side, despite executing on our product roadmap by applying strict investment discipline, depreciation and amortization of €1.11 billion, once again exceeded net investments in PP&E and in intangible assets. In the provision and others category, we saw a negative effect of €1.2 billion, mainly from the elimination of the profit impact from cellcentric. This leads to a CFBIT in the industrial business of €2.2 billion and adjusted for restructuring measures and M&A transactions to a CFBIT adjusted in the industrial business of €1.9 billion. On the work to free cash flow, cash taxes are at minus €524 million. Free cash flow of the industrial business without the adjustments for M&A transactions and restructuring measures came in at €1.6 billion. This leaves us with €1.3 billion free cash flow adjusted for the industrial business. Our balance sheet is work-solid. Our net industrial liquidity rose to €6 billion. The increase was driven by the industrial free cash flow of €1.6 billion and impact coming from the spin-off. This effect mainly consists of received capital injections from former Daimler AG of €5.4 billion and payments to Daimler AG of €2.8 billion for the subsequent acquisition of entities transferred to the truck business. Before giving you a view on the outlook for 2022, please allow me for the following remarks. Given the global situation with the COVID-19 pandemic still present, supply bottlenecks in the market and especially with the ongoing war in Ukraine, currently, uncertainty is very high. Our operational exposure in Russia and Ukraine is relatively low, roughly 1% of our global total sales. Unlike others, we are currently not directly affected by additional supply chain issues caused by the war or the sanctions. Taking a cautious pose, we will, from today's point of view, impair all our Russian related assets in Q1 2022. This is a one-time effect of approximately €200 million. We will include this as an adjusted item in EBIT Q1 2022. The currently foreseeable operational effects such as the holded Russia business as well as the currently incurred higher raw material and energy costs are included in the guidance for 2022. We keep track of our targets for 2022 and monitor the further development very closely. We are also consequently working on our self-help measures. Given that, and based on the current information, we currently feel confident to achieve our targets for 2022. Our guidance is made with the following assumption. We currently assume that the economic conditions in our most important markets continue to normalize and that neither the COVID-19 dynamic nor the war in Ukraine will have a negative impact on the general market development. Despite strong demand, bottlenecks in the semiconductor industry and ongoing supply constraints will continue to impact sales mainly in the first half. So now let's have a look at the market guidance for the full year 2022. Based on the expected global economic development, we anticipate for the heavy-duty truck market in North America, a range of 255,000 to 295,000 units, the European heavy-duty truck market at a range of 240,000 to 280,000 units. On the group guidance, we expect revenues in the range of €45.5 million to €47.5 billion. EBIT adjusted is expected to significantly increase in 2022 compared to 2021, whereas EBIT reported should slightly decrease. As a reminder, significant increase means more than 15% and a slight decrease means between minus 5% and minus 15%. We expect investments in pp&e and R&D costs to increase slightly coming from a low level in 2021. As already mentioned, the increase 2021 is driven by the increasing investments in new technology. Our target of a reduction by 15% versus 2019 remains in effect. Looking at the guidance of our Industrial business, we expect unit sales in the range of 500,000 to 520,000 units and revenues in the range of €44 million to €46 billion. Based on the currently available information, we are confident we will achieve a return on sales adjusted within a range of 7% to 9%. With five increases affected starting in Q2 and significantly -- significant shortages in semiconductors, we expect the first quarter to be the weakest quarter that means below the guided full year 2022 performance. Free cash flow reported is expected on prior year level with the first quarter still being impacted by higher inventories driven by the chip shortage. So what's the outlook on the segment level. For Trucks North America, we expect unit sales in the range of 175,000 to 190,000 units and return on sales adjusted in the range of 10% to 12%. For the full year, we expect further significant improvement at Mercedes-Benz trucks with unit sales in the range of 155,000 to 175,000 units and the return on sales adjusted in a range of 6% to 8%. For Trucks Asia, we expect unit sales in the range of 140,000 to 160,000 units, and was adjusted in a range of 3% to 5%. Keep in mind that 2021 included a 2 percentage point one-time effect from the impairment reversal of the FDA. For Daimler Buses, we expect unit sales in a range of 20,000 to 25,000 units and was adjusted at least at breakeven. For Financial Services, we expect a new business volume of €8 billion to €9 billion and the adjusted return on equity between 5% and 7%. So much from my side for the financial performance for the full year 2021, and back to Martin for the strategic outlook.
Martin Daum: Thank you, Jochen. Let us now look at our strategic priorities in the current year. What is on our agenda regarding profitability? First, we will and we have to manage the environment. We expect an overall strong global market demand, and we will take advantage of that with our strong products and our strong sales team. At the same time, we continue to fight our headwinds. And sometimes I have the feeling the winds are blowing even harder this year. As for supply chain and inflationary challenges, Jochen already touched on our pricing adjustments to support our contribution margins. Regarding the war in Ukraine, we, of course, will monitor the development very closely. Second, we will further increase our resilience. We will continue our strict cost control, and we will continue to grow our services. Our aftermarket business, for example, we will also continue to build up our benchmark financial services on a global scale. Our other strategic priority, of course, is sustainable transportation. In the coming months, we will further broaden our portfolio of battery electric vehicles. We will launch our heavy-duty truck Freightliner eCascadia, with a range of up to 400 kilometers. We will launch our Mercedes-Benz eEconic refuse collection specialist. And we will introduce the next generation of our light truck FUSO eCanter. Our eCanter is a real pioneer of an emission-free transportation. We launched the first model back in 2017. So in the course of the year, we will launch three new battery trucks on three continents. Plus, we will introduce an electric bus chassis in Latin America with a range of up to 250 kilometers. And we will intensify our testing of our hydrogen power trucks on public roads. Parallel to accelerating zero-emission transportation, we are also accelerating autonomous trucking. As we speak, we are delivering Class 8 autonomous-ready Freightliner Cascadia trucks with redundant functions to our partner, Waymo. These trucks are equipped with a second set of critical systems like steering and braking to ensure maximum safety. And as we speak, we are also intensifying testing autonomous trucks together with our partner, Torc Robotics. We do so on public roads in several US states. We look forward to giving you a comprehensive update on autonomous trucking in the second quarter of this year. Let me conclude by strengthening this point. We want to get a lot done this year and in the years to come. And I'm very confident we will succeed. Why? Because we already made a big leap forward in 2021 as our annual results clearly show. And because I know what we're doing right now to make 2022 an even bigger and higher success, despite the headwinds we are facing. And because at Daimler Trucks, we have a spirit that I'm really proud of. We will live and breathe sustainability. We have already established an ESG framework. This will be an important pillar of how we run our company. We have a culture of trust and entrepreneurship where people feel they can truly make a difference. And we have a team that wants to show the world what Daimler Truck is capable of doing as an independent company. All of that will be a great enabler going forward. So we are very excited about our road ahead. Thank you. We will now have a short break before we continue with our Q&A sessions. [Break]
Christian Herrmann: Good morning, ladies and gentlemen. On behalf of Daimler Truck, I would like to welcome you to the Q&A session of our annual results conference with Martin Daum and Jochen Goetz. You probably all joined our presentation prior to this Q&A session. Just a quick reminder. All material, the presentation, the fact book as well as the annual report are available on the Daimler Truck Investor Relations website. Later today, you also will find a more detailed road show presentation on that site as well. Ladies and gentlemen, you may ask your questions now. Please introduce yourself with your name and the name of the organization that you're representing. Please ask your question in English. And as a matter of fairness, please limit the amount of questions to a maximum of two. Now before we start, the operator will explain the procedure.
Operator: Welcome to the Daimler Truck Global Conference Call. At our customers' request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler Truck website. I would like to remind you that this teleconference is governed by the safe harbor wording you'll find in our published results documents. Please note, our presentations contain forward-looking statements that reflect management's current views with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. [Operator Instructions] Now I'll turn it over to Christian Herrmann. Thank you very much
Christian Herrmann: Thank you very much for that explanation. So let's get started. The first question goes to Michael Jacks from Bank of America.
Michael Jacks: Thank you, Christian, and good morning, Martin, Johan [ph] and team. Congratulations on passing your first milestone and putting together a very comprehensive guidance and results pack. My first question is on pricing. At the midpoint of your revenue and volume guidance, it looks like we should expect a positive price mix impact of around 5%. Is that fair? And can you give us a sense for how you see the price realization developing through the course of the year?  And my second question is given that the fixed cost savings at Mercedes-Benz truck were phased-in during 2021, what is the expected incremental effect from the 2021 savings for 2022? And how do you see the realization of the remaining 50% in 2023? Thank you.
Christian Herrmann: Thank you, Michael. I think Jochen [indiscernible]
Jochen Goetz: Okay. Well, pricing is a very important topic in 2022. We said several times in the past and also today that we were not able to regain all the material costs in 2021 on the pricing side. But we have established even earlier in 2021 pricing measures will, on the one hand, increase the pricing for 2022. We cover the raw material effects of 2021 and also cover the expected raw material into 2022. After seeing that the raw material even had a further steep increase, we added price pieces. And so far, the acceptance, especially in D&S from the customer side is a quite good one. Similar situation in Europe. We have the same challenges there and the same approach as well. So price -- very important and your assumption of 5%. Again, it depends a little bit on market by market. It's a very good assumption. Second, on the cost side, for Mercedes-Benz trucks. As we said, on the personal cost side, we've achieved already 50% in 2021. We expect the full realization of the cost until 2023. To be honest, in 2022, we have from an overall perspective, meaning from an overall fixed cost perspective in Europe, effects coming from the spin-off. That will be some challenge, but will be compensated with structural measures. So we expect some improvement this year and then the full effect coming in 2023.
Michael Jacks: Okay. Thank you. That’s okay.
Christian Herrmann: Thank you. The next call in line would be Daniela Costa from Goldman Sachs.
Daniela Costa: Thank you very much. Good morning. Two questions from me as well. So, first, I wanted to ask regarding -- obviously, you've been pretty clear that you still see good demand and no cancellation risks at the moment. But if we have a more pronounced macro slowdown, can you talk about, sort of, which measures have you taken, maybe different from the past, to prevent -- to control that cancellation risk, maybe perhaps prepayment levels. So what's the protection level on the backlog? And the second question, just regarding the -- going back to Mercedes-Benz, you were very clear on what's the progress regarding fixed cost restructuring. I think, the other thing you've mentioned that you were working on was to close some of the gap perhaps on the aftermarket. Can you talk a little bit to the progress you've done on that? Where is the penetration of aftermarket on Mercedes-Benz side at the moment? And which actions have you taken there? Thank you.
Jörg Howe: Thank you, Daniela. Martin, please.
Martin Daum: Yes, Daniela. The question on the cancellations, we can't see any cancellations at the moment. And we are still in the situation that rather customers would order more trucks if we offer them more build slots. You're fully right. If the general sentiment in an economy would turn to a recession, which we don't see at the moment from our customers' behavior, then certainly, we'll see cancellations.  To put a fee on the truck, that kind of a prepayment that will stay with us in form of a cancellation, is in the trucking industry. Nothing I would recommend to an OEM, because here we are in a long-term relationship with our customers. What we try to do so is that we really check regularly our backlog that we want to avoid speculative orders in the sense of some just putting in a fake order to save a production slot. We are pretty confident that everything we have in our order book so far for 2022 are real orders where there is a desperate need for it, both on the construction side as on the transportation side. That's all I can say to the backlog security. You have -- yes.
Jochen Goetz: I can take the aftermarket question, Daniela. So first of all, if you look back, and we're always referring to the year 2019, as you know, as a reference point. What happened in 2020 with trucks not up and running, we had a significant drop in aftermarket, like, I would say, the whole industry. And what we have seen in 2021 is a very nice recovery. On the one hand, trucks are back running, but still, we see an impact back from the pandemic. So it's not a full amount of spare part. But at the same time, we see that our structural measures, we have chosen and taken in 2019 and 2020, already have positive impacts with that. We achieved back the level of 2019. And with full recovery of the market, we are on the way to execute also on the Mercedes-Benz side, our target to achieve over the 35% mid of this decade when it comes to after sales.
Daniela Costa: Thank you.
Christian Herrmann: So the next question would be for Jose Asumendi, JPMorgan. 
Jose Asumendi: Thank you, Christian. It's Jose from JPMorgan. Good morning, Martin and Jochen. Two questions, please. The first one, Jochen, can you speak a little bit about the cost you took for the recall in North America? And how much did it impact the fourth quarter margin? And should we take this as non-recurring in 2022? That’ll be the first one. And then the second one, I'm trying to understand a little bit better, how you're going to improve the profitability in Europe. I would love to understand a bit better, what are your top five actions to reduce the fixed cost base? And could you give us some signals in terms of the products you're discontinuing in Europe that you don't think meet the requirements in terms of cost of capital? And secondly, if you could speak about the medium duty engine platform you have in Europe and how you are outsourcing this platform? And how is that going to help your fixed cost reduction? Thank you.
Christian Herman: Yes. Jochen, would you like to start with the first two and then Martin on the engine.
Jochen Goetz: Yes. So Jose, let's start with TS 1, your question regarding the recall. We had two reels in December, they both together amount to roughly US$100 million. And it's just fixing a problem in the -- in the Q4, there is no impact towards Q1 or the years to come. It's all booked. It's all accounted. We just have to fix a problem, no further impact. Second question, Europe. Well, if I have to pick five, so first of all, we talked a lot about that. A, we further reduce our personnel costs and all kind of spending until 2023 and 2025, as we mentioned before, that's still a way to go, and that's one of the measures we need to achieve our targets. Keep in mind, when we talk about personnel-related measures, a lot of that is already signed in form of contracts, but the impact starts when the respective person is leaving the company. So there's always some delay from an EBIT perspective. That's number one. Number two, when it comes to capital and cost allocation, we further have to reduce our funding level. We did very successfully. I've heard that we did it overall really in 2021 with minus 18%. There's also a way to go on the material side. Service is a little bit more midterm topic, as I mentioned earlier, the third one. And then keep in mind that we are -- we have restructured our used truck business in a way that we changed the policy not giving any longer fees. These contracts by four years, it takes a time until these trucks are running out. We have seen a positive effect already in 2021, and we will have the full impact in the year 2022 and the years after. So these are the four main measures, I would say, besides a reaction on headwinds. We talked about that on the pricing side. These are the measures which make us believe that we can achieve double-digit return on sales on the material side. With that, over to Martin.
Martin Daum: And about your question about the engine platform. Today, we have two engine platforms. One, we call heavy duty, which starts at 11 liters and goes up to 16 liters powering trucks heavier than 16 tons and then a global medium-duty platform. In the heavy-duty platform, we have -- we consider ourselves having the biggest platform on the globe and therefore, it makes absolute sense to continue with this platform. In the medium, we don't have that benefit of the size. So we teamed up with the largest platform in the world, which is Cummins. So we give up the inter medium platform, first in Europe or North America, but a little bit later in other parts of the world as well. And that means we can reduce completely all R&D efforts for those platforms, sharing that -- comments by purchasing their engines on top. Cummins will move with the production of the European medium-duty engines for Mercedes into our plant in Mannheim and will help us to carry some of the fixed costs of that plant as well. So this is a small, but a sizable step towards the zero transmission transformation we are planning.
Jose Asumendi: Thank you.
Operator: The next question would be for Klas Bergelind from Citi.
Klas Bergelind: Yes. Thank you. Hi, Martin and Jochen. So a couple of questions please. First, on the wire harnessing issues, you're still keeping the 7% to 9% margin range. And it seems like you don't see this as a big impact for you. Could you please explain to us, Martin, how you are sourcing here? I'm trying to understand if you're saying that, you don't see any impact now at this very moment or if you can source differently to get around this for the full year? I'll start there.
Martin Daum: That's an easy question to answer. As I read out the press, it's company called LEONI with factories into Ukraine, where they really do heroic things to keep the production going. So kudos to LEONI. We, in this case, have no business relationship and no supplies from LEONI. So we are not affected by that situation, our wiring and harnessing for the European plants come from other countries, not the Ukraine.
Klas Bergelind: Okay. Very clear. My second one is on how you guide for the market relative to your own unit sales. I sort of get North America as you're taking share in the vocational segment. You're guiding slight growth for the market at the midpoint against a 14% increase at the midpoint for your unit sales. Mercedes-Benz, however, is a little bit more tricky to understand because the European market, according to you, is seen down 5% at the midpoint, but your unit sales guide is up 17%. So are you saying, Martin, that you already are taking a lot of market share? Is that the intention, or do you have better supply than others across families and so forth? I'm trying to understand that disconnect.
Martin Daum: This is – first of all, this year, market guidance, market share unit is extremely difficult because it has to do with the supply side, not the demand side. Normally, you look at the demand, then you do assumptions about your own market share and then you come up with a calculation. This time, you have a same feeling about your own supply situation. You have absolutely no clue about the supply situation of your competitors. And out of the whole mix, you have to make your assumptions. So for example, if you look at the first two months in North America that we were significantly in our deliveries below our expectations due to supply shortages. But suddenly, we end up with a 44% market share, a level we never achieved in the past, meaning others might have had even more bigger problems that we had in the overall market was below 2021. So this is a crazy situation at the moment, especially, if you are in the Fortune Telling business. We try our very best. So I would say, the most solid – most solid numbers at the moment, our projected sales because here, we have a pretty good understanding about our customers demand, our factory capabilities and what we can do. So North America, in this case, is easy because 95% of our production in North America goes to the North American market, so there's direct interline. Mercedes-Benz, however, it's the European market. It's the export market, what you call rest of world, and it's -- most importantly, the Brazilian market, which is included here and certainly, Mercedes-Benz as a market leader in Brazil has a huge impact of that market. In Brazil, we see a very strong market in 2022, and that explains a lot of that change by the European market is only going up that much percentage and our total sales goes up much further.
Klas Bergelind: Yeah. Very clear, Martin, it was such a big disconnect. I guess, it should tell us a little bit about the market outlook per se, that there's a lot of pent-up demand, I think, for a lot of OEMs at the moment. But yeah, thank you for the color.
Operator: Thank you, Klas. Next question is for Miguel Borrega from BNP Exane.
Miguel Borrega: Hi. Good morning, everyone. Thanks for taking my question. My first one is on Trucks North America. The margin performance was obviously underwhelming in Q4. Can you help us understand what went wrong there, whether you were already expecting this at the time of the CMD in mid-November. You talked about a two percentage point impact from recalls that's about $100 million. But that still doesn't quite get you to last year's performance. So what gives you the confidence on going back to above 10% this year, if we assume the current run rate for cost inflation on raw materials and labor. If you could give us some detail on the bridge for 2022, that would be great?
Martin Daum: I would say I give you my flavor and Jochen, you might chime in because it's really a truly important question. The biggest one is that you have a huge order backlog, then when during the year, your raw material out of the blue goes beyond any level you have seen in increase. Then it's -- and on the same time, you can't deliver the trucks at the time you promise to the customer. It's extremely difficult to go out to the customer and say, "Hey, by the way, forgive me, I can't deliver the truck at the time you need it. But I guess what I want to more money from you because meanwhile, everything goes up higher, extremely difficult, especially with our relationship to our customers, which are normally extreme long-term relationships. We changed that. We significantly increased pricing in 2022, highest price increase ever. And we even started and hinted to the customers that, that price is not necessarily guaranteed for the full year 2022, a new one in our customer relationship that if pricing -- if the cost of material goes further up, then that has on top might trigger another price increase potentially on the constrained costs, Jochen, if you can.
Jochen Goetz: Yeah. Miguel, let me comment on specifically Q4, which was also part of your question. It's absolutely right. As already mentioned, if you take the margin of 5% in Q4 at the 2% coming from the recall then on 7. And there were two effects on top. We mentioned also in our speeches that we really worked until the last day to make as many tracks as possible because the customers are actually waiting for them. That caused some interruption in the production, additional transportation costs is inefficiency in a broader sense. It can easily add another 2% to 3% out of that. And then as Martin just described, raw material went up with a time delay especially in Q4, while under pricing, a lot of that happens starting in Q2 2022. And therefore, there's what a hit in 2020 in the fourth quarter. From a structural perspective, it was not that bad of a quarter. Demand was good. Margins itself was good. It was more the onetime effects, which drove the numbers down.
Miguel Borrega: That's great. And then can you update us on the chip shortage situation? Are you seeing an easing quarter-on-quarter? And I know that you expect an improvement in the second half of the year. But can you give us a flavor of why is that as your supplier flagged increased volumes for you specifically? Thank you.
Martin Daum: I mean on the chip shortage on the one side is certainly that we get signals from our supplier that slowly the situation gets better. But far more important for us was that we were looking for technical solutions. We look for alternative supply sources. We looked in one instance, for example, we were able to reduce the number of chips we need in a specific part, getting more parts in total, and therefore, serving more trucks. So we look for engineering changes, they take time, because they need to be well tested. Sometimes they have impact on exhaust regulations and therefore, we have to test that, especially well because we don't want to do any mistakes on that side. So that takes time, but we are positive that those measures kick in then second quarter, third quarter and make their life a little bit easier in 2022. That's what we're expecting.
Miguel Borrega: Great. Thank you very much.
Operator: Thanks, Miguel. The next in line is Nicolai Kempf from Deutsche Bank.
Nicolai Kempf : Yes. Good morning. Nicolai Kempf here from Deutsche Bank. Thanks for taking my question. My first would be on lead times. Can you just highlight how long are your current lead times, both in Europe and also in the US? And also if the lead times are getting too long, would that be a risk to pass on high raw material prices. And on this regard, how are you hedged against raw material prices?
Martin Daum: I mean, you are fully right. I would say, we are basically both in Europe and the US sold out for this year. And the open slots we have are mostly reserved for customers are not bookable at the moment. In normal times, and I call normal times non-inflationary times that would be always a price protected backlog, we lifted that for this year. However, it's still very difficult to renegotiate some of the pricing, but we are doing it. And we were doing it increasingly. And then we try to put in some flexible positions as well as outbound logistics if that gets higher, so we can charge more when energy pricing goes up. But it's not a one-size-fits-all policy. It has to be negotiated with each and every customer. I would say, one important criteria is more reliable, we can be with our deliveries, which were impossible last year is more than we can talk about higher pricing. But the chip prices has still the impact that it's -- there are so many unexpected moves. That means suppliers who promise you a certain percentage of supply of fuel demand, which is always lower than 100% in the next month, suddenly cut that by half, but overnight. And that is, in my opinion, really an unbearable situation, which has used impact then in the downstream business of our business.
Jochen Goetz: And maybe, Martin, if I add just prove what's happening on the pricing side. Martin already mentioned that we went back to the existing orders and saying, well, the world has changed and environment is totally different. We have to increase the prices even for orders, which are already in the backlog. It's always the opportunity for a customer at that point of time to decide, well, with this price increase, I go for a different solution. We have basically seen only minor cancellations after a significant price increase, which once again underlines how strong the demand is and how urgently our customers need the trucks.
Nicolai Kempf : Sounds good. Thank you.
Operator: Thanks, Nicolai. Next question is for Tom Narayan from RBC.
Tom Narayan: Hi. Yes. Tom Narayan, RBC. Thanks for taking my question. Just wondering, if you could give us a little bit more color, you mentioned the North America Q4, interruption and which created inefficiency. Maybe a little more color there and maybe what caused that? Was that semis related? And then, the other thing is, I just to confirm, the fixed cost reductions and the contribution margin improvement, the cost half of those were already to happen in 2021, I think, of the fixed cost. I just want to make sure that happened. And then, any comment on EU policy regarding getting less dependent on fossil fuels from Russia. I know there's the repower EU proposals thinking that could be positive for your hydrogen ambitions? That's what I have. Thanks.
Jochen Goetz: The first one, you have to understand, for example, we had by the end of the third quarter, more than 10,000 unfinished units in North American yards. And that means, we built the truck down the line, parked at the fence, wait until we have the park in, then pull the truck back into a shop at the factory and put the part in. That means, you have to test the truck twice, a truck does not get better while it be parked to the fence. And you have to touch the same truck twice. I remember when I was running a factory in my youth, first time through was one of the key metrics we have for grade and good production. We have given that up in last year completely. There is not a single truck that runs the first time through. And once you touch the truck several times, it just costs you more money. And then, comes on top of the logistics cost. We even had to fly in-parts by helicopter, which in my entire long career in trucking was never heard of before. But we do that, because our customers need the truck. I take EU policy question, then Jörg you go to the fixed cost question. The EU policy is more a long-term one. Yes, it has ultimately a positive influence on the hydrogen ambitions. Yeah, because -- but this is long-term. We need Russian energy for our electric -- production of our electric energy as well as heating as well as for the industrial processes. The change is a five-year, eight-year change until 2030. Therefore, we are pushing a lot and it helps us to get heard and they understand now why we are pushing so much that we can't -- we have no time to lose when it comes of transformation of the infrastructure and energy sector parallel to the automotive industry.
Jörg Howe: Then on the fixed cost side, so first of all, overall, as you know, with that, we want to achieve a target of a 50% reduction in 2023, compared to 2019, at the end of the year 2021, we achieved a 12% reduction. What I specifically mentioned, I think it was Martin who mentioned it, 50% of the, call it, personnel cost reduction in Europe are already in the books of 2021. However, keep in mind, we have signed much more contracts, and there's always a time delay when it hits the books. So from our perspective, we are really well under track to achieve our fixed cost target, in 2023. On the margin improvement, it's slightly different. I mentioned the used truck development. We really see the optimization there. And obviously, if you have challenges to get new trucks, it helps aftermarket used truck as well. So pricing is strong. But it's really important to mention that we structured the used truck business. In Europe, margins on aftermarket improved significantly in 2021. But keep in mind, there was a dip in 2020. So there is still a way to go. That's one of the improvement feels to achieve in Europe, double-digit return on sales.
Tom Narayan: Okay. Just a quick follow-up on the contribution margin piece, not the fixed cost one. Some of those were just like materials, right, like raw components. And I was just wondering, if the increase in raw material price inflation has impacted your view on being able to achieve that part of the fixed cost reduction?
Jochen Goetz: I would say that, well, there is an inflationary effect also on the fixed cost side. But given the progress we have seen, we feel confident also compensate some portion of that still achieving our target of 50%. It's absolutely right. It does not make the life easier, but it's still in our overall framework.
Martin Daum: And perhaps, if I might add here, if we would go now in the future, and this is not in our planning at the moment, but if we would go in a long-term inflationary economy, we see a year-over-year 5% to 7% increases in all costs. And certainly, we have to adjust our targets. But subsequently, we have to adjust our pricing. Similarly, all our planning is done on a more stable economy as we have experienced the last 15 years.
Tom Narayan: Thank you.
Operator: Thanks, Tom. Next in line Jonathan Day, HSBC.
Jonathan Day: Thanks. Good morning all. I was wondering if you could just suggest a couple of points and talk a little bit about on the electric truck orders, what kind of business model you are seeing on those? And is it dynamic pricing? And then on the second question, maybe you could talk a little bit about what you're seeing in Asia in terms of profitability and how that could -- how you could drive recovery in Asian profitability? Thank you.
Martin Daum: Where it comes to electric, it's -- yeah, it's a lot of the customers, it's a first-time buyer, so they have to do their first steps on electric tool. So we have customers buying normally 100, 200 trucks from us and they might buy five or 10 electric trucks. So those are the first get to know trucks. The sales are still as today, we offer a certain package, we offer warranties and we make our profitability on those tags. On the bus side, it's completely different. It's when the cities, they are already in the second phase, where they go for repowering an entire CD electrically. Here in this case, it's normally a tender business. So we are in competition with other brands. But what becomes more and more important on the bus side, and I could see that on the truck side becoming more and more important in the future as well that we have services alongside that where we help to set-up the right infrastructure to help to set-up the serviceability of those buses and sell consultant agreements with it. So it's more entire packages, including charging instead of just the truck or in this case, the bus itself.
Jochen Goetz: Yeah. Talking about Asia, again, I want to underline what I said also in the speech. If you take 2021 as a starting point keep in mind, there were 2% onetime are coming from China. So basically the starting point is a 5% return on sales in 2021. What we see in 2022 are quite different developments in the different markets. We see an improvement in India. Therefore, we gain sales there. On the other hand, Japan, China, but especially also Indonesia, after the pre-buy effect in 2021 is really down from a volume perspective. So we see a quite negative mix in Asia. So that hits us in 2022. Besides that, our plan to achieve the overall margin of 9% is still in place on the fixed cost side. Like in the other regions, we are moving forward in the US -- in Japan. The aftermarket piece is quite important but we have to improve further our penetration in the workshops. That's one major lever to achieve that. So it's really in 2022, especially the mix between the different regions within Asia.
Jonathan Day: Great. Thank you.
Christian Herrmann: Thanks. Next in line is Himanshu from Jefferies.
Himanshu Agarwal: Hi, Martin and Jochen. Thanks for taking my question. Himanshu from Jefferies. First one on the order intake. Given that you are sold out for 2022, should we expect a weaker order intake in H1? And then, when are you thinking about opening the order books for 2023, yeah. So -- and what are the lead times that you're targeting at this stage? And secondly, if you can just talk about the earnings in 2022, H1 versus H2? I presume H1 is going to be weaker and H2, you will see most of the recovery yet. Thanks.
Jochen Goetz: Martin, take the first one.
Martin Daum: Yeah, the first one. Yes, you will see order intake in the first quarter. When I said we are basically sold out means that the open production slots we have, we have reserved for customers, for markets where we are absolutely sure that we'll get the order. And therefore, now when we firm it up, fix the pricing, have the contracts in place and so on. So, you'll see a continuous order intake. But you might -- if you look year-over-year, see a weaker first quarter. And I honestly don't have even now the number in my head, what we had in the first quarter of 2021. Because at the moment, it's not that important because we have that early humongous order backlog in all regions of the world that we have to build. I sometimes ask my colleagues who run the regional units, John O’Leary, Karin Rådström, what would happen if I offer you tomorrow for the second quarter, 5,000 additional chips or respective parts. And it was obviously give it to -- is this real or just a fake question, because if we would have it, we would immediately pickup the phone and call. We know exactly whom to call and the trucks will be gone within no time. So, that shows us that the demand still out-passes the supply we have and therefore, order intake at the moment is not that so much of a critical figure.
Jochen Goetz: Yeah. Regarding the split of profitability in 2022, the way you could think about it, I would say there are two major things you have to take into consideration, A, that's available of chips. And I think we talked about it already. Q1 will be hopefully the worst quarter. For the full year, we see some improvement in Q2 and then the second half should be much better. That's the one. And second, we talked also about when pricing measures kick-in. So we will see a major impact starting with the second quarter, and then obviously, we have a full year impact in the second half. That means overall Q1 will be still a very challenging quarter, then improvement in Q2 and kind of a normal business than in the second half.
Martin Daum: And there is one important part, which I overlook from Himanshu, but I think it's a very good question. Therefore, I would like to reiterate. We haven't opened up the order books for 2023. And I can remind you only of 2021, here we had an absolutely monster August and September that was exactly the time when we opened the books. And at that point of time, we fixed -- we set the pricing for 2022, and we will do something similarly this year not knowing whether this will be August, September or October. But definitely far in the second half of the year to make sure that we get the right price point for 2023, and subsequently, we'll have then one of those monster months again because we see a very strong markets for 2023. Everything on the foundation that the war in the Ukraine has no impact in the major markets of Europe and the United States.
Christian Herrmann: Thanks, Himanshu. I think we have time for one more question. So the last question would go to Stephen Reitman, Societe Generale.
Stephen Reitman: Yes. Thank you. My question, again, is going back to Fixed Cost and CapEx. You showed impressive progress in 2021 in terms of fixed cost reduction and CapEx and R&D cost reduction as well. We know that 2021 is still an extraordinary year because of, I expect you mentioned, like for example, warranty costs, semiconductor shortages and other kind of problems as well. But given the margins that you've actually achieved and the sort of 6.4% adjusted EBIT margin for the year, how confident are you that your fixed cost plans, the 15% by 2023 is enough to get you to these margin targets that you have for getting to double-digit margin in Mercedes, for example. Clearly, you've made a lot of progress on these cost cuttings, but the margins are still quite far from benchmark? Thank you.
Martin Daum: Yes. Well, Stephen, thanks for your question. Well, when we laid out the plan, again, back in 2019, where a detailed plan -- what has to happen on China, what has to happen on after sales, what has to have on used, obviously, what has to happen on the material cost side and on the Fixed and CapEx side. Fixed and CapEx, we're even ahead of plan. We touched on that several times. On the material cost, and I talk material cost improvements, not about the raw material piece. We are in the plan to execute our technical measures as well as commercial measures that works pretty well. Aftermarket comes with a time delay, as I mentioned already twice today. Used truck, we restructured the program. We are still strong in the United States. So from today's perspective, we feel confident that we can execute all of the measures we have. And with that, the 15% would be enough even with a slight advantage to achieve double-digit margins.
Stephen Reitman: Thank you.
Christian Herrmann: Ladies and gentlemen, we've come to the end of our Q&A session. I thank you, Martin and Jochen for answering the questions and being with us today. And thanks to all of you for all of your questions. In case you missed anything or need additional information, please don't hesitate to reach out to my team or myself. Thank you again for being with us today. Enjoy the rest of your day. Stay safe and healthy. Talk to you soon.